Operator: Good morning, afternoon or evening. My name is Jayel, and I will be your conference operator today. At this time, I would like to welcome everyone to the Hamilton Lane Fiscal First Quarter 2024 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. A supplemental slide presentation to accompany the prepared remarks can be found on the company's website. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. At this time, I would like to turn the call over to John Oh, Head of Shareholder Relations. Mr. Oh, you may begin your conference.
John Oh: Thank you, Jayel. Good morning, and welcome to the Hamilton Lane Q1 fiscal 2024 earnings call. Today, I will be joined by Mario Giannini, CEO; Erik Hirsch, Vice Chairman; and Atul Varma, CFO. Earlier this morning, we issued a press release and slide presentation, which are available on our website. Before we discuss the quarter's results, we want to remind you that we will be making forward-looking statements. Forward-looking statements discuss our current expectations and projections relating to our financial position, results of operations, plans, objectives, future performance and business. These forward-looking statements do not guarantee future events or performance, and are subject to risks and uncertainties that may cause our actual results to differ materially from those projected. For a discussion of these risks, please review the cautionary statements and risk factors included in the Hamilton Lane's fiscal 2023 10-K and subsequent reports we file with the SEC. These forward-looking statements are made only as of today and, except as required, we undertake no obligation to update or revise any of them. We will also be referring to non-GAAP measures that we view as important in assessing the performance of our business. Reconciliation of those non-GAAP measures to GAAP can be found in the earnings presentation materials made available on the Shareholders section of the Hamilton Lane website. Our detailed financial results will be made available when our 10-Q is filed. Please note that nothing on this call represents an offer to sell or a solicitation of an offer to purchase interest in any of Hamilton Lane's products. Beginning with the financial highlights. For the quarter, management and advisory fee revenue grew by 23%, while our fee-related earnings also grew by 23% versus the prior year period. This translated into GAAP EPS of $0.81 based on $31 million of GAAP net income and non-GAAP EPS of $0.94 based on $51 million of adjusted net income. We have also declared a dividend of $0.445 per share this quarter, which keeps us on track for the 11% increase over last fiscal year, equating to the targeted $1.78 per share for fiscal year 2024. With that I'll now turn the call over to Mario.
Mario Giannini: Thanks, John, and good morning, everyone. I want to take a moment and touch on the announcement we made a few weeks back around several senior leadership appointments throughout the firm. Our personnel goals are simple, hire and retain the absolute best people, put them on a successful path and ensure that path allows for continued growth. With all, but one of the appointments being internal resources, the changes clearly reflect our personnel philosophy and show our continued focus on delivering results for our clients, shareholders and partners. As part of last week's announcement, you saw that Atul Varma will be moving into a senior adviser role here at Hamilton Lane and that Jeff Armbrister will become our new CFO effective August 8th. Jeff has spent the last five years at Hamilton Lane and was most recently the Global Head of our Direct Equity platform, which under his leadership, has achieved strong growth and concluded a successful fund raise earlier this year. Prior to joining Hamilton Lane, Jeff spent 19 years in private equity, with the final five years as Managing Director at a private equity firm, where he participated in all major investment functions and also provided oversight for certain finance-related operational activities, including financial analysis and reporting and cash flow management for a number of their portfolio companies. We think Jeff's experience, firm tenure and strong investment and strategic skill set will serve us well as we are now well into our seventh year of being a public company. Let me end here by thanking Atul for his service and leadership during his tenure as CFO. Before we move to the quarter's results, I want to take this opportunity and highlight that Hamilton Lane was recently recognized in Private Equity International's 2023 new Private Impact's 50 list. This list brings together the largest managers of private market capital across different asset classes, including private debt, infrastructure, private equity and real estate, and measures the amount of impact focused capital raised over a five-year period. The firms represented on this list are united by a common approach of intentional pursuit of positive, measurable social or environmental impact alongside financial returns. We are honored to be recognized as one of the 50 largest managers of impact focused capital and look forward to the continued growth of this platform. I will now turn it over to Erik.
Erik Hirsch: Thank you, Mario, and good morning, everyone. Turning to the results for the quarter. Our total asset footprint, which we define as the sum of our AUM and AUA stood at approximately $818 billion and represents a 2% decrease to our footprint year-over-year. AUM growth year-over-year, which was $9 billion or 8% came from both our specialized funds and customized separate accounts. AUA was net down nearly $24 billion or 3% year-over-year, primarily the result of expiration of reporting and advisory mandates. As a reminder, AUA can fluctuate for a variety of reasons, but the revenue associated with AUA does not necessarily move in lockstep with those changes. This was true for this period, whereby despite a reduction in AUA, advisory revenue increased. Turning now to fee earning AUM. Total fee-earning AUM stood at nearly $60 billion and grew $8.5 billion or 17% relative to the prior year period, stemming from positive fund flows across both our specialized funds and our customized separate accounts. Taken separately, $4.1 billion of net fee-earning AUM came from our customized separate accounts. And over the same time period, $4.4 billion came from our specialized funds. Our blended fee rate across the platform has been increasing over the past few quarters. This stems from the continuing shift in the mix of our fee-earning AUM towards higher fee rate specialized funds, most notably our Evergreen products where growth is strong. Moving now to additional detail on our customized separate accounts. Fee earning AUM from our customized separate accounts stood at $35.9 billion, growing 13% over the past 12 months. We continue to see the growth coming across type, size and geographic rotation of the clients. Over the last 12 months, more than 80% of the gross inflows into customized separate accounts came from our existing client base. While this clearly speaks to the power of the recurring relationship model, it also tells you that with the remainder of flows, despite a very large installed base coming from new relationships that the market continues to offer plenty of opportunities. Moving to our specialized funds. Momentum here continues to be strong. Fee earning AUM from our specialized funds stood at $23.8 billion at quarter-end. Over the last 12 months, we achieved positive net inflows of $4.4 billion, representing an increase of 23% relative to the prior year period. This growth stem from additional closes for funds currently in market, robust investment activity and continued expansion of our Evergreen platform. I'll quickly touch upon two of the drivers of fee earning AUM growth in the quarter. On June 30th, we held an additional close for our Secondary Fund VI that totaled over $490 million. This brings the total raise for this fund to nearly $2.5 billion. This close also generated retro fees of $3.9 million in the quarter. The fund will remain in market into the fourth quarter of calendar 2023 and we remain encouraged with the demand for this strategy coupled with a strong fundraising pipeline ahead of us. Moving now to the Evergreen platform, where we continue to be excited about what we have already accomplished and what lies ahead. As of quarter-end, the platform stood at over $4.2 billion of AUM across our three products. For the first six calendar months of 2023, the platform is averaging over $130 million of monthly net inflow. This compares to a monthly average of $75 million for calendar year 2022. Our success here has been driven by strong performance and by both growing and expanding with our existing distribution channels and adding new relationships. Last quarter, recall that we announced that we had been successfully onboarded by two of the preeminent wirehouses in the US for our PAF product. While still early days there, we've already seen very encouraging uptake with over $220 million of gross inflow from those two channels in just a few short months. It is worth pausing here to clearly state a point. Today, $1 of Evergreen inflow brings more gross revenue than nearly $4 of separate account inflow. Additionally, every dollar of Evergreen capital has the potential to generate deal-by-deal carried interest. We continue to believe that our product offering is differentiated and the growth we've achieved during calendar year 2023 serves to validate that point. Our brand, scale and approach provides investors in these products with both a unique access point and experience in the private markets and we look forward to further building on our success. Let me shift gears now and talk to our most recently announced technology initiative. This new partnership highlights both the strength and strategic value of our proprietary data and analytics and demonstrates why we believe that the most optimal path forward in cutting-edge technology is through partnering with leading companies in ways that extend beyond just balance sheet capital. We announced that we and TIFIN, one of our existing strategic balance sheet investments have come together to launch a new AI-powered conversational investment assistant. This tool seeks to combine Hamilton Lane's high-quality private markets data and intelligence with TIFIN's AI technology and capabilities and provides data-centric information around private market benchmarking, forecasting and diligence and will help educate private wealth investors and their intermediaries on the asset class. We believe this venture to be the first of its kind within the private markets and is intended for integration within the wealth platforms and digital marketplaces used by advisers and investors allocating to the private markets. It is also a powerful brand extension into this market segment for us. This NewCo was being set up as a company jointly owned directly by TIFIN, Hamilton Lane and NewCo management. And with that, I'll now turn the call over to Atul to cover the financials.
Atul Varma: Thank you, Erik, and good morning, everyone. For the first quarter of fiscal year 2024, we achieved strong growth in our business, with management advisory fees of 23% versus the prior year period. Our specialized funds revenue increased $14.1 million or 32% compared to the prior year period. This was driven primarily by a $1.3 billion increase to fee earning AUM in our Evergreen platform in the last 12 months and $2.4 billion raised since inception in our latest Secondary Fund. Retro fees for the quarter were approximately $3.9 million, stemming primarily from our Secondary Fund in market versus minimal amount in the prior year period. As a reminder, investors that come into later closes during a fundraise pay retroactive fees dating back to the fund's first close. We expect to generate additional retro fees if we hold subsequent closes for Secondary Fund VI. Moving onto customized separate accounts. Revenue increased $3.3 million or 12% compared to the prior year period due to re-ups from existing clients, the addition of several new accounts and continued investment activity. Revenue from our advisory reporting and other offerings decreased $716,000 compared to the prior year period due primarily to the sale of 361 Capital asset, partially offset by increases in revenue coming from our technology solutions. Lastly, the final component of our revenue is incentive fees. Incentive fees for the quarter totaled $19.6 million and are down 60% relative to the prior year period. Recall that last fiscal year, which generated a large amount of incentive fees due to the catch-up period that several of our carry-eligible vehicles were in. Let me now turn to some additional detail on our unrealized carry balance. The balance is flat from the prior year period, while having recognized $126.9 million of incentive fees during the last 12 months. The unrealized carry balance now stands at $1.1 billion. Moving to expenses. Total expenses decreased $2.9 million compared with the prior year period. Total compensation benefits decreased by $8.1 million, driven primarily by lower compensation associated with a decreased amount of incentive fees. G&A increased $5.2 million, driven primarily by revenue-related expenses, such as third-party commissions and fund expenses as well as travel expense. Our fee-related earnings were up 23% relative to the prior year period as a result of the management fee and AUM growth discussed earlier. Before I move on, I want to take a minute and expand on a component of our third-party commissions, which will begin to increase, and this caused G&A to increase as a result of what Erik mentioned earlier around our US Evergreen product now being live on 2 wirehouses. The flows that come in through the wirehouse channels have an associated upfront distribution fee from the dollars raised there. That payment was made and applied to the total amount when those dollars close into the fund. However, the corresponding management fee we earned from those same dollars come in over the course of the year for as long as the client is invested in the fund. This creates a timing mismatch between costs of bringing those dollars in and the revenue associated with those flows. While this upfront cost is a positive as it shows we are gaining traction with the wirehouses and their clients, it will cause our G&A to increase with the eventual offsetting revenue to come in during the subsequent quarters and years. I'll wrap up here with some commentary on our balance sheet. Our largest asset continues to be our investments alongside our clients in our customized separate accounts and specialized funds. Over the long-term, we view these investments as an important component of our continued growth and we'll continue to invest our balance sheet capital alongside our clients. In regards to our liabilities, we continue to be modestly levered. And before we open up the call for Q&A, as Mario noted, this will be my last earnings call for Hamilton Lane. I will be transitioning to a senior adviser role and we'll be working closely with our incoming CFO, Jeff Armbrister, as we move into the role, ensuring a smooth and seamless transition. I'm proud of the growth we have been able to achieve during my tenure as CFO and want to sincerely thank Hamilton Lane for the opportunity to serve. With that we'll open up the call for questions.
Operator: Thank you. [Operator Instructions] Your first question comes from the line of Michael Cyprys of Morgan Stanley. Please go ahead.
Michael Cyprys: Hey, good morning. Thanks for taking the question. Maybe first just -- Atul, wish you all the best in your next adventure. It's been great working with you. So maybe just a question on the fundraising outlook. You guys have been making some good progress on the Secondary Fund. Maybe you can just remind us here what's in the market today where these funds stand in terms of raising? And what funds might make sense to come back into the market as you look out over the next 12 months? And what sort of newer strategies could we see coming to the market for raising as we look out over the next 12 months?
Erik Hirsch: Sure, Mike. It's Erik. Currently, in market and really the focus is the Secondary Fund, as I mentioned, kind of in market at least through the end of calendar 2023. Our credit fund, that strategic opportunities fund kind of a perpetual in market. So that also is there and then the three evergreen offerings. So that's really the primary focus for the sales team right now. As we look out into next year, we have a variety of other products, as you know, whether that's infrastructure, direct equity, or other pieces. And so we'll sequence those as we sort of see market conditions and as we continue to deploy capital.
Operator: Thank you. Your next question comes from the line of Kenneth Worthington of JPMorgan. Please go ahead.
Kenneth Worthington: Hi. Good morning. Can you talk about the outlook for realized carry in the coming quarters? It seems like confidence around the macro environment has improved. And I wanted to see if you see the market backdrop improving as well. And does that drive a more constructive realization environment for you as we look into the back half of the calendar year and beginning in the following calendar year?
Mario Giannini: Hi, Ken, it's Mario. It obviously is affected very much by the macro backdrop. And as you said, that seems to be improving. That will really be a function of whether markets stay strong over the next six months. We obviously have a lot of conversations with general partners who talk about preparing companies for exits, and that would certainly have an impact on anyone's carry realizations. And if those exits happen then I suspect you would see that increase the carry numbers. But it's just very hard to say because I would say just as you look out there, it will very much depend on what happens over the course of the next six to nine months in terms of the macro-outlook. We think it looks positive, but your guess on the stock market is probably as good as ours and how strategics feel about what they want to do with acquisition activity.
Kenneth Worthington: Okay, great. Thank you.
Operator: Your next question comes from the line of Alexander Blostein of Goldman Sachs. Please go ahead.
Alexander Blostein: Hi. Thanks. Good morning. I wanted to ask you a question around operating leverage in the business. You guys have been running with an FRE margin of about 43%, pretty consistently over the last several quarters. So curious on two fronts, I guess, one, as the platform continues to scale and given your success in Evergreen, how do you think about trajectory of FRE margins over time? And then more near-term, I was hoping you can give us maybe a framework of how to think about the near-term distribution cost impact on G&A? So I don't know if you could provide something along the lines of like a, I don't know, $1 of gross sales through the wires impacts G&A by X, and how that ultimately will translate into the management fee pickup. I'm assuming it's because based on deployed capital and that's why there's a lag, but maybe a little bit more color around that structure would be helpful. Thanks.
Erik Hirsch: Sure, Alex, it's Erik. Let me start on the first piece. I think if you look at margins, I mean I'll sort of say, I think management has continued to do a very good job. As you know, we're in a rising cost environment. We're in a rising kind of activity environment. So for us specifically, that's sort of manifesting itself in a few different ways. So there are more offices than there were sort of over the last two or three years. There are more salespeople, there are more client people. Therefore, there is more travel, more conferences and just generally more sales activity. So despite all of that, you have seen, as you noted, very consistent numbers on the FRE margin. That is, I think, both a) good cost management and b) we are seeing the operating leverage kind of kicking in, allowing us to maintain steady margin, while still increasing significantly our sort of think that as sort of our distribution activity in every way, shape and form. I think for management, we're always balancing looking at that margin with also eyeing kind of continued growth. And I think right now, our focus is primarily on setting pieces in place for continued growth, not for trying to significantly increase the margins from where they are today. We've seen the benefit of that operating leverage and I think that will continue to show itself, but we also see numerous places where we feel like there's terrific return on capital being invested to set ourselves up for new product launches, new geographic expansion and again generally new sales activity. Turning to your second question. As Atul said, there's a timing issue here, which is when on these wirehouses, and I'm sure you have seen this with the other players who are in those channels and have been for longer than us. That wire house is essentially capturing a kind of onetime distribution fee paid at the time of the subscription, whereas the client itself is paying that management fee over time to us. So that upfront cost comes at the beginning and then the revenue to us kind of comes later. So that's really what Atul is saying. It's just a timing issue as to when we're paying out versus when we're kind of recouping.
Operator: Thank you. Your next question comes from the line of Adam Beatty of UBS Financial. Please go ahead.
Adam Beatty: Thank you and good morning and all the best to Atul. Just wanted to ask about the conversational investment assistant and the NewCo that you're developing around that. Just curious as to kind of operationally what's envisioned in terms of the user base, would it mainly be FAs or end clients or headquarters or some mix of that? Also interested in any either feedback or development participation that you've gotten from the wirehouses or other big distributors with that? And finally, how much of a kind of white label product is it going to be? Will the involvement of Hamilton Lane and TIFIN be visible to kind of the end users or more transparent? Thank you.
Erik Hirsch: Sure. Adam, it's Erik. I'll take that. I think as we step back and look at what's happening in private wealth, what do we know? We know interest level is high. And we, frankly, no knowledge is not as high as interest level is. And so there is an educational mismatch that is occurring in the market as this asset class is newer to those participants. I think for us, we're focused on two things. One, expanding our brand into that channel and two, arming those participants with good data and good market intelligence. We believe that as people are more knowledgeable, their comfort in investing will rise. So what TIFIN and Hamilton Lane have come together is to kind of create this AI chatbot. And the target audience is the financial adviser, distribution will be done by NewCo, led by the TIFIN sales team. If you look at where TIFIN's products are deployed now, that is where they are deployed. Magnifi, as an example, is one of their other large products, also AI-driven. And so think about this chatbot as being able to be distributed directly into the FA channel. But I think more powerfully think about it as something that could be incorporated into a broader software offering already on those platforms. So those financial advisers are tapped into a variety of technologies, some of it kind of parent technology-driven, the AI chatbot can really be an add-on piece to that. And again, in some simplistic terms, think about it as a tool that is going to allow a financial adviser to ask a question such as what was top quartile performance for the 2016 vintage year, or in 2018, did private credit outperform or underperform private equity? And then that chatbot is giving them quantitative data charts and analysis that is powered by that Hamilton Lane database, immediately back to them in a user-friendly way. Again, trying to better educate, better empower them to make good decisions. So we see this as a very large addressable market. We see this as a market today where we frankly don't really see kind of a competitive landscape. And we see ourselves as having a good first mover advantage and partnered with somebody who has already had broad success in that channel.
Operator: Thank you. Your next question comes from the line of Mike Brown of KBW. Please go ahead.
Michael Brown: Okay, great. Thanks for taking my question. So this quarter, you had some retroactive fees. It sounds like there may be more, but I just wanted to, I guess, ask about how we should think about the fee rate starting point for next quarter? And maybe any views into how the catch-up fees could compare to this quarter? And then just longer term, what innings do you think you guys are in, in terms of the fee rate mix shift dynamic here?
Erik Hirsch: Sure, Mike. It's Erik. I'll take that. If you look at what's been happening, I mean, the fee rate has been sort of gently moving up into the right. And as we noted, kind of driven by really two pieces. One, faster growth in specialized funds than separate account and in particular, the power of that evergreen dollar, as I noted, being worth on a gross revenue basis kind of 4X what a typical separate account dollar is worth. So in terms of inning, I mean we think we're in very early innings for the Evergreen product. But again, we're running a marathon here, not a sprint. So we're proud of kind of the $4 plus billion that we're at today. But again, we've only been at this for a few years, and we look around and see other participants that have a sort of 10 to 15 plus year history and we sort of look at that as something that we sort of aspire to. So we see this as early. So to the extent that that -- those two things happen together that those specialized funds, including Evergreen continues to grow faster, you're going to see that sort of rate shift continue to sort of move over to the right. On the retro fee piece, again, we're looking into a crystal ball. But if you look at us historically, our fundraisers have tended to be a little bit barbelled. So bigger activity at the very beginning, a little bit quieter in the middle and then bigger at the end. So to the extent that we come into the Secondary Fund as we have with past products with very strong fundraising towards the back end of the fund raise, those larger amounts raised relative to what we're raising today, coupled with a longer time period is going to result in retro fees being higher going forward for those subsequent closes.
Operator: Thank you. Your next question comes from the line Finian O'Shea of Wells Fargo. Please go ahead.
Finian O'Shea: Hi, everyone. Good morning. Just a high-level question on the private equity secondaries market and how you're seeing the opportunity play out. Would you say it's sort of a golden age like they say for private credit, where you're seeing great terms, great returns or is there something like less supply or more competition holding that back? Thank you.
Mario Giannini: Finian, it's Mario. On the credit market question, I don't know that I termed a golden age, anytime anyone says a golden age, you look back and go, well, you shouldn't have said it was a golden age. But there are a lot of secular trends that are favoring private credit. One is just higher interest rates. So that's good. All of the regional bank issues in the United States as people have talked about has pulled credit back in a lot of areas and private credit has certainly been a beneficiary of that. The scale of some of these private credit platforms -- there was news this morning that one private credit provider had basically supplanted bank capital and doing a fairly large deal, I think you'll see more of that going forward. The terms are far better because there's obviously less competition as some of the banks have pulled out and some of the other players. So I would say that, yes, the private credit market is having a very good time in here. And as long as you believe that credit will continue to be a little tighter in the bank markets and in the public markets then that will certainly be the case. And no one can really know how long that will last.
Erik Hirsch: And Finian, it's Erik, I'll take the second part of that on the secondary space. I think that really depends on what part of the market you're looking at, I mean, one, secondary has not been a golden era right now. It might become that, although as the markets continue to rebound, that seems increasingly unlikely. You certainly have seen little pockets of distressed selling on kind of traditional LP portfolios. Some pricing there has gotten more interesting. On the GP-led deals, pricing there has been less interesting. Those deals that are getting done, and I repeat getting done, tend to be more trophy assets, and so pricing there continues to be tighter. So opportunity set, interesting but again, I think to echo Mario's point on the credit side, nothing that we would deem today to be kind of golden era like.
Operator: Thank you. We have a follow-up question from the line of Michael Cyprys of Morgan Stanley. Please go ahead.
Michael Cyprys: Great. Thanks for taking the follow-up. Maybe just sticking with credit. It seems the deployment that you guys had in the quarter was pretty healthy. Maybe you can just help contextualize that and talk about some of the areas where you guys are seeing some of the most compelling opportunities to put that to work in your credit strat ops? And then more broadly on credit, maybe you could talk a little bit about how you're thinking about further expanding your credit platform, whether it's in terms of investment and sourcing capabilities, as well as vehicles and funds that you might be able to bring to the marketplace over the next couple of years?
Mario Giannini: Michael, it's Mario. Yes. I mean in terms of the investment opportunity on the credit side, I don't know that we're looking at any one area that is particularly more interesting than another. I think as you -- as the credit landscape I described, it's across the entire landscape. It's companies large and small. It's companies in all industries. And so when we look at where the opportunity set is, it really is more a function of does the risk return profile on a particular company look interesting to us. And I would say that is true in different kinds of situations, whether it's a robust cash flow company or a company that needs additional capital for whatever reasons. It just isn't one of those situations where you say, oh, this segment is particularly more interesting than another. I think it is across the entire scale of what's going on in the credit markets. In terms of additional products, in terms of additional areas, sure, we're always looking at that. But I would say that the basic opportunity set is robust enough and the areas for expansion across that basic opportunity set are strong enough that I don't know that you need to reach for new additional products or new additional areas and say that that's the way to expand or that's the way you have to do it, but I think that the credit market in general is offering a good amount of opportunities.
Operator: Thank you. We have another follow-up question from the line of Kenneth Worthington of JPMorgan. Please go ahead.
Kenneth Worthington: Great. Thank you. Also on credit, I think you're on strategic opportunities, 13. How much has been raised thus far in that fund? And actually, at what point do you transition to 14? And then a separate question for Secondary VI, what is the cadence of closings that you would expect through the end of the calendar year? Is it likely we'll see two more closings before time runs out? And is there the option to extend fundraising into 2024, if there is demand?
Erik Hirsch: Ken, it's Erik. So on the credit question, so we're actually on Fund VIII. We aspire for 13. We'll hope to get there eventually. But we're on Fund VIII, and if you look at the last couple of years, we've basically been raising between $700 million and $900 million per series. And remember that those are annual series. And so -- we've raised -- we're -- that cadence isn't changing for where we are with eight versus the others. So we'll continue to be in market through the end of the calendar year. And then we will sort of turn our attention to the next in the series, which will be nine. On the Secondary Fund, again, a little crystal ballish. So we're always trying to figure out when to have the right close. That's a balance of how much capital is in. And wanting to sort of just make sure that we're managing expenses and a good client experience et cetera, et cetera, et cetera. If I'm crystal balling, I would guess that we have at least two closes between now and the end of the calendar year. And then we're going to just have to assess where we are, what LP demand looks like, what the market looks like and whether we want to think about looking for an extension. We have in the past, on occasion, done that, so it's not something that we're unfamiliar with. And if we think that's the right decision for the customer and for the best investment results, we would certainly consider that.
Operator: Thank you. And there are no further questions at this time. So I'd like to take this opportunity to transfer the call back over to Erik Hirsch for closing remarks.
Erik Hirsch: Great. Again, thank you for the time today. Thank you for the questions. Thank you for the interest and wishing everyone a good rest of summer.
Operator: This concludes today's conference call. You may now disconnect.